Operator: Good day, and welcome to Century Communities' First Quarter Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Tyler Langton. Please go ahead, sir.
Tyler Langton: Good afternoon. Thank you for joining us today for Century Communities' earnings conference call for the first quarter of 2024. Before the call begins, I would like to remind everyone that certain statements made during this call may constitute forward-looking statements. These statements are based on management's current expectations and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. Certain of these risks and uncertainties can be found under the heading Risk Factors in the company's latest 10-K, as supplemented by our latest 10-Q, and other SEC filings. We undertake no duty to update our forward-looking statements. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The company's presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Hosting the call today are Dale Francescon, Chairman and Co-Chief Executive Officer; Rob Francescon, Co-Chief Executive Officer and President; and Scott Dixon, Interim Chief Financial Officer. Following today's prepared remarks, we'll open the line up for questions. With that, I'll turn the call over to Dale.
Dale Francescon: Thank you, Tyler, and good afternoon, everyone. To start, I want to welcome Scott Dixon, our Interim Chief Financial Officer, to the call. Scott joined Century back in 2013, and was most recently our Assistant Chief Financial Officer. Scott has played a key role in driving our growth over the past 10-plus years, and his direct responsibilities have included overseeing accounting, treasury, risk management, and financial planning and analysis. Turning to the quarter, we're very pleased with our first quarter results, including deliveries of 2,358 homes, an increase of 23% versus the prior-year period, and the second highest level of first quarter deliveries in our company's history. Our first quarter revenues, up $949 million, increased by 26% versus the prior-year period, and our adjusted diluted earnings per share of $2.22 increased by 114%. We have continued to see strong demand for our affordable new homes and low resale inventories in our markets. Our first quarter net new contracts, of 2,866 homes, increased by 42% year-over-year, and by 22% versus the fourth quarter, 2023. Our orders increased on a sequential basis in each month of the first quarter, and our orders in the first three weeks of April are consistent with overall first quarter levels. We also experienced a meaningful improvement in absorptions with our first quarter 2024 monthly absorption rates averaging 3.8 versus 2.9 in the year-ago period, and 3.1 in the fourth quarter of 2023. On a year-over-year basis, our net orders increased across all our segments, with the Southeast and Mountain regions posting the strongest gains, at 86% and 84% respectively. While we continue to provide incentives through rate buydowns when necessary, we were seeing buyers adjust at higher rates across our platform, which has enabled us to reduce our level of incentives. Our focus on affordability positions us well for future growth and continued success as we can target the widest range of potential homebuyers. In the first quarter, more than 90% of our delivers were priced below FHA limits. Our average sales price, of $391,000, remains among the lowest of the publicly traded homebuilders. In the first quarter, we generally matched our starts with our sales, and built nearly 100% of our homes on a spec basis. This approach allows us to control our costs, maintain an appropriate supply of quick move-in homes, provide our homebuyers with certainty of financing, and meet the healthy demand that we are seeing in our markets. In closing, I want to highlight that Century was recently selected as the highest ranked homebuilder on Newsweek's list of America's Most Trustworthy Companies, for the second year in a row. And we believe our inclusion on this list is a testament to the unwavering dedication of our team members and trade partners who consistently deliver a home for every dream. Our entire company culture and work ethic is built around consistently pairing quality, affordable homes with a best-in-class home buying experience. So, we're deeply honored to receive this recognition for the second year in a row. I'll now turn the call over to Rob to discuss our operations and land position in more detail.
Rob Francescon: Thank you, Dale, and good afternoon, everyone. Given the strong demand for our new homes, we are able to reduce our incentives on closed homes to a little over 700 basis points in the first quarter, 2024, from roughly 800 basis points in the fourth quarter of 2023. As we've discussed in the past, interest rate buydowns continue to be the most important incentive for our customers given their ability to significantly lower monthly payments, a key focus for our entry-level buyer. In the first quarter, the FICO scores of our homebuyers remain healthy and consistent with levels from the fourth quarter and full-year 2023. We also had continued success in controlling our costs in the first quarter. On a sequential basis, we saw a further 2% reduction in our direct construction costs across a wide range of categories on the homes we started. We have been able to achieve these reductions even with the continued strength in the housing market by both leveraging and expanding our trade and supply base across our national footprint. During the first quarter, our cycle times remained in the four to five-month timeframe after having returned to these pre-COVID historical averages in the back-half of 2023. On the land front, we ended the first quarter with approximately 75,000 owned and controlled lots, a 46% year-over-year increase. The higher lot count on a year-over-year basis was driven by an increase in our controlled lots, which accounted for 58% of our total lots in the first quarter, with our number of owned lots remaining relatively static over the past two years. Additionally, at the end of the first quarter, Texas and the Southeast accounted for roughly 50% of our total lot count, up from 39% in the year-ago period and reflective of our strategy to grow our presence in these attractive markets that are benefiting from relative affordability, strong employment, and population growth. Combined with Century Complete, these more affordable markets comprise over 70% of our owned and controlled land supply. Additionally, the strength of our relationships with third-party land developers across the Southeast, Texas, and in all of Century Complete's markets further support our land-light strategy that is focused on acquiring finished lots where possible. We ended the first quarter with a community count of 253, the highest level in our company's history and an increase of 8% versus year-ago levels with every region we operate in experiencing growth. Century Complete accounted for over 40% of our total community count in the first quarter, while the Southeast and Texas combined accounted for close to 30%. During the quarter, we opened a total of 42 communities and close 40. We also closed out a greater number of communities than originally planned in the first quarter due to our better than expected level of sales and deliveries. We continue to expect to see community count growth for the full-year 2024 with the increases more heavily weighted towards the second-half of the year as more new communities start to come online. I'll now turn the call over to Scott to discuss our financial results in more detail.
Scott Dixon: Thank you, Rob. During the first quarter of 2024, pre-tax income was $84.3 million and net income was $64.3 million or $2 per diluted share, a 93% year-over-year increase. Adjusted net income was $71.4 million or $2.22 per diluted share, a 114% year-over-year increase. EBITDA for the quarter was $100.3 million, and adjusted EBITDA was $109.6 million, respective increases of 83% and 100% over year-ago levels. Revenues for the first quarter were $948.5 million, up 26% versus the prior-year quarter on both higher deliveries and average sales price. Our average sales price of $391,200 in the first quarter increased by 4% on a sequential basis, mainly due to lower levels of incentives index. A Century Complete accounted for 33% of first quarter deliveries versus 39% in the fourth quarter 2023. Our deliveries of 2,358 homes increased by 23% versus the prior-year period. We saw growth across all our regions with the Southeast experiencing the highest growth rate of 91% year-over-year as we continue to expand our presence in this attractive region. We are pleased with the strong start to the year for our deliveries and expect to see sequential growth over the remaining quarters of 2024. At quarter end, our backlog of sold homes was 1,590 units valued at $667 million, with an average price of $420,000. The increase in the average sales price of our backlog at the end of the first quarter, compared to fourth quarter 2023, was also largely due to mix. While deliveries and backlog in the first quarter were more weighted towards higher price regions, we expect this trend to broadly reverse with the percentage of our deliveries by region for the full-year 2024 estimated to be roughly similar to 2023 levels. We currently expect our average sales price for the full-year 2024 to range between $380,000 and $390,000. In the first quarter, adjusted home building gross margin percentage was 22.8% compared to 19.6% in the first quarter of 2023. Home building gross margin was 21.3% compared to 18.2% in the prior-year quarter. Our gross margins in the first quarter were roughly flat on a sequential basis. While margins benefited from lower incentives, this sequential tailwind was generally offset by mix and purchase price accounting adjustments from our acquisition of landmark homes of Tennessee that we completed in January. SG&A as a percentage of home sales revenue was 12.4% in the first quarter compared to 13.4% in the prior-year. The largest drivers of this year-over-year decrease were our higher levels of deliveries and a focus on controlling our fixed levels of G&A. For 2024, we expect SG&A as a percentage of home sales revenue to decline on a year-over-year basis as we look to grow our deliveries and keep our fixed levels of G&A relatively constant. Other expense in the quarter was $9.6 million, which included $7.7 million impairment on other non-core investments. In the first quarter, our tax rate was 23.7% compared to 24.3% in the prior-year quarter. We expect our full-year tax rate for 2024 to be roughly 25%. Our net home building debt to net capital ratio was 24.9% compared to fourth quarter 2023 levels of 22.4%. The change is driven by our increased starts heading into the spring selling season. Our home building debt to capital ratio decreased to 29.4% at quarter end compared to 29.9% as of the end of the fourth quarter, 2023. During the quarter, we increased our quarterly cash dividend by 13% to $0.26 per share, repurchased 186,887 shares of our common stock for $16.1 million, and grew our book value per share to a record $76.10, a 12% year-over-year increase. We ended the quarter with $2.4 billion in stockholders' equity, $1 billion in total liquidity, and $208 million in cash. At March 31st, we had no borrowings outstanding on our $800 million unsecured revolving credit facility that does not mature until April 2026. Additionally, we had no senior debt maturities until June of 2027, providing us ample flexibility with our leverage management. Now turning to guidance, even with our positive outlook on the housing market and our business, we are maintaining our guidance for full-year 2024 deliveries to be in the range of 10,000 to 11,000 homes and our home sales revenue to be in the range of $3.8 billion to $4.2 billion, given the uncertainty that exists around interest rates. In closing, we are encouraged with our strong start to the year. We are seeing solid demand across our footprint, are successfully managing our costs and cycle times, and will grow both our community count and deliveries on a year-over-year basis. With that, I'll open the line for questions. Operator?
Operator: Thank you. [Operator Instructions] We will now pause momentarily to assemble our roster. And the first question will come from Carl Reichardt with BTIG. Please go ahead.
Carl Reichardt: Thanks. Good afternoon, everybody.
Dale Francescon: Good afternoon, Carl.
Carl Reichardt: Hey, guys. I'm a little confused on the guide, I mean, if you grow deliveries just a little sequentially you're at the bottom-end of the guide by the end of the year. And you've got business in April already trending, it sounds like, fairly well, and clearly your backlog conversion rate is extremely high. So, help me understand again, why you're not raising at least the low-end of the guide unless you're expecting catastrophic interest rates, but certainly feel much higher from [hear] (ph) rates.
Dale Francescon: If you recall, it's strictly a function of trying to be conservative, not knowing where rates were going to go. As we started out the year, we expected to see significant rate cuts during the year. Now, that seems to be somewhat in question. So, when we just look at the future, I mean what we're seeing right now is pretty positive. But it's hard to anticipate what's going to happen as the year unfolds. And so, that's the reason for not changing guidance.
Carl Reichardt: Okay. I certainly understand the uncertainty. You've added a lot of developed lots and kept your own lot count fairly flat year-over-year. And you mentioned, I think, that your relationships with third-party developers are key to you. So, two questions, on the lots you're putting under contract today, when do you anticipate that they will be ready to be built on coming to market, on average? And then second, of your optioned lots, what percentage are with third-party developers versus lots that you are going to develop yourself and bring to market later, potentially at higher margins?
Dale Francescon: So, on the first part, lots that we're putting in the controlled position and bringing them on, those range everywhere from finished lots that could be even accretive to this year's business, to full development deals where we have a third-party developer if they have to develop those lots for us on various structures. So, they just range across the board if you could imagine. Obviously, though our desire is to have more finished lots, as a reminder, the Century Complete model only buys finished lots. And on the Communities brand, we're trying to buy finished lots everywhere that we can and create that more capital efficient land-light approach. The second part of that question, to your second question regarding the percentage that are third-party developers, that's not something that we have disclosed previously, but we do develop, in the Communities brand in all of our markets ourselves, in addition to third-party developers that develop for us. So, on the Century Complete brand, that would be 100% third-party developers developing those finished lots. On the Communities brand, we develop along with third-party developers.
Carl Reichardt: Perfect. I appreciate. I'll get back in queue. Thanks a bunch, guys.
Dale Francescon: Right.
Operator: The next question will come from Alex Rygiel with B. Riley. Please go ahead.
Alex Rygiel: Thank you, gentlemen, and a very nice quarter again.
Dale Francescon: Thanks, Alex.
Alex Rygiel: And as you look into the second quarter, does it appear that incentives could again decline sequentially?
Rob Francescon: Yes, Alex, very good question, I think we were optimistic as we got into the first quarter in terms of the rate environment that, as we said in our prepared remarks, that we had a little bit of additional pricing power on the incentive line item. Certainly with some of the volatility in rates over the last few weeks, I don't know that there's significant additional optimism on our standpoint in terms of being able to reduce the amount of mortgage incentives that we're looking at into Q2. Certainly, if the rest of the year plays itself out, it's something that we'll be evaluating.
Alex Rygiel: That is helpful. And then, as we think about your gross margins for the remainder of the year, can you talk about the tailwinds and headwinds, and maybe provide some directional guidance as it relates to everything else on [indiscernible]?
Scott Dixon: Yes, absolutely. I think when you saw the first quarter come through with margins in kind of that low GAAP gross margins and that low 21% range. As we're looking out in terms of our cost structure, we're not seeing significant cost pressures over the immediate future. So, that kind of guide from the initial first quarter perspective from a margin feels about right for the immediate future. Certainly there can be some tailwinds or headwinds from a mortgage incentive standpoint going into the future on us here as it impacts ASPs. The other item that we would call out is we do have a little bit of a drag from some purchase accounting related to our Landmark acquisition that we completed here, in January. There's about a 20 basis point drag here on the first quarter margins. We would anticipate that to be pretty similar for Q2 as well as Q3, with then it falling off really by the back-half and final quarter of the year.
Alex Rygiel: Very helpful. Thank you very much.
Scott Dixon: Absolutely.
Dale Francescon: Thank you.
Operator: The next question will come from Jesse Lederman with Zelman & Associates. Please go ahead.
Jesse Lederman: Thanks for taking my questions, and congrats on the strong quarter.
Dale Francescon: Thank you.
Jesse Lederman: First one is backlog conversion. So, given the high backlog conversion, you presumably sell and deliver a high percentage of your homes in the same quarter. That said, your percentage of Century Complete deliveries fell sequentially to 33% from 39%. So, the question is, is that just timing or is that somewhat of a testament to demand for that Century Complete home or maybe qualification issues, affordability issues, et cetera?
Scott Dixon: Yes, and thanks for the question, Jesse, and it's a question. It's something we spent a fair amount of time with the management team looking at, as our -- as the quarter really played itself through. So, I think -- and we mentioned it a little bit in our prepared remarks. We're a little bit lighter on the Century Complete deliveries as a percentage of our overall platform this quarter. We anticipate that to trend a little bit more towards where we were at from all of last year, from a 2023 perspective, just from a percentage of the mix. And then, from the backlog conversion, yes, it was a pretty high backlog that we've done historically. We did sell and close intra-quarter over 50% of our units. A lot of that was obviously a factor of the demand that we experience ourselves within our markets this quarter, as well as coming into the year with units that were further along in the stage of construction.
Jesse Lederman: That's helpful. But just one quick follow-up on that, so, you didn't see any particular affordability concerns or pushback from that Century Complete buyer that caused the percentage of deliveries in the quarter or maybe even if you could talk about percentage of homes you sold in the quarter relative to the rest of the business, if those are maybe more affordability-constrained prospective homebuyers?
Scott Dixon: I think when we look at our Century Complete being able to bring homes to market in the -- at the mid to below $300,000 range, I think our ASPs in that brand are in the 260-275 or 275,000 range. From a sales perspective, we were up 35% quarter-over-quarter on the Century Complete side. And while that buyer is certainly one that needs some additional incentives on the mortgage side from time to time, we're still seeing strong demand.
Jesse Lederman: Great, thanks for the color. One last question, you've done a great job acquiring lots over the last several quarters, as you note, [we'll see off] (ph) balance sheet with your lot count up 45% year-over-year. So, turning to just capital allocation priorities, where does share buyback sit on that capital allocation priority list? I noticed you bought back about $16 million of shares in the first quarter, which was among your highest in a couple years, along with the great quarter last year. So, maybe you can talk about the share buybacks a little bit. Thank you.
Scott Dixon: Yes, absolutely. And larger from a question from just the capital allocation perspective, and I remember one priority as -- is obviously putting our capital back into the business, as you've seen us grown our owned and controlled lot positions, we're pretty optimistic about the markets that we're currently. And think that, quite frankly, is the best return from our shareholders. Other than that, we certainly have a dividend -- quarterly dividend with that $0.26 a share that's up 13% from the previous quarter. So, that's plays itself into our capital allocations. And then, from a buyback perspective, we have over one million shares still authorized underneath our Board program. It is something, obviously, you saw us do during the quarter. I think to the extent that we see dislocation within the market compared to our book price, it's something that we will take a look at, but no specific guidance or structured program on the buybacks currently.
Jesse Lederman: Great, thanks so much.
Scott Dixon: Absolutely.
Operator: The next question will come from Jay McCanless with Wedbush. Please go ahead.
Jay McCanless: Hey, thanks for taking our questions. I guess the first one I had, could you talk about what percentage of your closings in the first quarter were customers that used a mortgage rate buydown?
Scott Dixon: Yes, and Jay, that's not a specific number that we've disclosed in the past, but it's a substantial majority. It's over 75%.
Jay McCanless: And then we've heard from a lot of your competitors that they're seeing rising lot costs and also rising land development costs. I guess maybe could you talk to us about how that's going to play out this year for Century and whether that's going to be a 24 thing or going to be more of a 25 thing when you think those higher land costs might start to impact the income statement?
Dale Francescon: Yes, I think it would be more of a 25 thing. I think we're going to be relatively flat this year on that. From an LD standpoint, that's market dependent. We're actually getting some reductions in certain markets as people get a little bit hungrier for business with some competitive multifamily type projects that don't have the starts. So, when you look at that, we are getting a little bit of benefit in certain markets. Other markets, it's a challenge. And so, overall, on a consolidated basis, it's probably flat to slightly up on the LD side, but again, it's market dependent. But overall land is competitive right now. It seems like everybody's wanting to go after land, and so with that, we've been very competitive for it. So, we kind of started that a little bit early, as you see our year-over-year growth than some of our competitors. So, that feels good that we have that type of a control position now going into 2024.
Jay McCanless: Great. And then, talking about the gross margin, could we -- Scott, if we could zero down a little bit more. Should we expect, once you factor in the purchase price accounting, that 2Q gross margin is going to be fairly similar to 1Q, or is there anything in there from an incentive or delivery perspective that we need to be thinking about?
Scott Dixon: I'm, yes. I say that's a reasonable expectation outside of obviously what happens from an interest rate in what we're able to do or need to do from a mortgage incentive standpoint. But from where we sit today, I think that's a reasonable expectation.
Jay McCanless: Okay, great. That's all I have. Thank you.
Scott Dixon: Thank you.
Operator: The next question will come from Michael Rehaut with J.P. Morgan. Please go ahead.
Andrew Hassen: Hi, guys. Andrew, I'll be on for Mike. Thank you for taking my question. Congrats on the quarter. It looks like average order prices ticked up nicely sequentially. I just wanted to maybe dial in on how widespread that is and your outlook on the ability to push price in this environment. Thanks.
Dale Francescon: A lot of that would have been driven just by the mix. As we mentioned earlier, just because of circumstances in terms of production units, the percentage of our Century Complete business, which carries the lowest ASP, was down below where we've normally been. As a result, that brought down the number of homes that we closed that had the lower Century Complete ASP. The higher ASP in the century communities had a bigger percentage as a result that affected our overall average sales price.
Andrew Hassen: Got it. I appreciate that explanation. And then, just secondly, I was hoping if I can get any more granularity on community account growth as we go across this year and maybe any initial thoughts as we move into next year?
Dale Francescon: Yes, absolutely. I think we said in our prepared remarks, which is pretty consistent with what we said last quarter, is we anticipate really community count growth throughout the year, but really being back half-weighted as we've been adding to our own and control pipeline. I think it's when we sit here and look at it. Today, we obviously opened up 42 new communities during the first quarter, which is something that we are excited about. Closed out, quite frankly, got a little bit fewer than we thought, which was a good thing given the market demand. But from our current kind of look at the pipeline, we really think we'll be up mid to high single digits on community count as compared to last year by the time we get to the end of this year.
Andrew Hassen: Thanks so much. That's all for me. Good luck.
Dale Francescon: Sure. Thank you.
Operator: The next question is a follow-up from Carl Reichardt with BTIG. Please go ahead.
Carl Reichardt: Hey, thanks guys for all the helpful colors. Really appreciate it. Just on Century Complete and the mixed shift a bit away from it this quarter, as you're looking out in '24 and '25, do you expect the Century Complete mixed percentage of communities to begin to increase again, or should we expect it to be flat from here or fall as a percentage of the overall?
Scott Dixon: No, we've been -- if you look at the past few quarters Century Complete has been 38%, 39% of our overall closings. I would expect that we get back to those same levels. It was just when we look at it, the homes that we had on our Century Complete brand were just less this quarter than what we had on our communities brand.
Carl Reichardt: Okay, so more of an anomaly. Okay, great. Thanks. And then, last one, can you just talk a little bit about the non-core investment that you impaired? What was it and why did you impair it?
Scott Dixon: Yes, sure, absolutely. It was an investment we had in a startup company called Diamond Age, which is a 3D printing company. And we went through an exercise from the accounting perspective every quarter of taking a look at updated data points, and that flushed itself through in the charge this quarter.
Carl Reichardt: Great. I appreciate it, Scott. Thanks very much, guys.
Scott Dixon: Absolutely. Thank you.
Scott Dixon: Thank you.
Operator: [Operator Instructions] Our next question will come from Alex Barron with Housing Research Center. Please go ahead.
Alex Barron: Hey, guys. Congratulations on the quarter. I want to testify the incentives -- I'm assuming a lot of buyers are using some form of rate buy-down or forward commitment, but I was curious if you guys could spell out what percentage of the buyers actually take advantage of something like that.
Dale Francescon: Yes, absolutely, Alex. Obviously, from our buyer pool, from really focusing on that first-time home buyer, it's the substantial majority. It's above 75% of our buyers will take advantage of some level of a mortgage incentive.
Alex Barron: Got it. And as we look at what's happened so far this month, rates up, I don't know, 40, 50 beats versus last quarter, is your sense that you guys will increase the incentive to kind of keep the sales pace momentum going or that rate you offer people will go up along with market rates?
Dale Francescon: The rate that we've been offering has trended up as we have seen rates go up, so that we're basically keeping a similar spread between market and the rates that we're offering.
Alex Barron: And so far you haven't noticed whether it's affected sales pace much?
Dale Francescon: Yes, so far we don't see -- it has not, obviously the month is not over yet, but right now it has not.
Alex Barron: Okay, that's great. All right, that's all I got. Thank you.
Dale Francescon: Thank you.
Scott Dixon: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Dale Francescon for any closing remarks. Please go ahead.
Dale Francescon: Thank you, Operator. And to our team members, thank you for your hard work, dedication to Century, and commitment to our valued homebuyers. To our investors and everyone else on the call today, we appreciate your continued support and look forward to speaking with you again next quarter and sharing our continued progress.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.